Operator: Please stand by, we're about to begin. Good day and welcome to the Inuvo, Inc. 2021 Third Quarter results -- Financial Results Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Valter Pinto, Managing Director of KCSA Strategic Communications. Please go ahead, sir.
Valter Pinto : Thank you, Operator, and good afternoon. I'd like to thank everyone for joining us today for the Inuvo Third Quarter 2021 shareholder update conference call. Today, Inuvo's Chief Executive Officer, Richard Howe, and Chief Financial Officer, Wally Ruiz, will be your presenters on the call. We'd like to remind our shareholders that we anticipate filing our 10-Q (ph) with Securities and Exchange Commission’s tomorrow morning. Before I begin, I'm going to review the Company's Safe Harbor Statement. Statements in this conference call that are not descriptions of historical facts are forward-looking statements related to future events. And as such, all forward-looking statements are made pursuant to the Securities Litigation Reform Act of 1995.  These forward-looking statements are subject to risks and uncertainties and actual results may differ materially. When using this call, the words anticipate could enable estimate intend expect, believe potential will should project and similar expressions as they relate to Inuvo, Inc are such a forward-looking statement. Investors are cautioned that all forward-looking statements involve risks and uncertainties which may cause actual results Commissions to differ from those anticipated by Inuvo at this time. In addition, other risks are more fully described in Inuvo's public filings with the U.S. Securities and Exchange Commission, which can be reviewed at sec.gov.
Richard Howe: Thank you Valter, and thanks everyone for joining us today. We had a very strong third quarter where for the 3 months ended September 30th, 2021, we delivered $16.8 million in revenue, which was up 83% year-over-year and up 33% sequentially. As we have messaged throughout the year, we expect it to be back to positive adjusted EBITDA in the back half of 2021. I'm pleased to report that Adjusted EBITDA in the month of September was in fact positive. For the third quarter, it was a loss of $338,000. The Balance Sheet remains strong with no debt and roughly $14.6 million in cash and marketable securities along with an unused $5 million financing facility. The Company is not currently in need of additional capital.  Of the $16.8 million we delivered, the ValidClick platform contributed approximately $11.7 million, which was up year-over-year by 88%, and up 21% sequentially. The platform's growth rate has been a steady 8% compounded monthly through September of 2021 off the COVID-related low in May of 2020. ValidClick 's services include multichannel media buying in support of our largest clients. The product line has continued to enhance these competencies, having recently added Twitter to the stable of social media relationships. Much of the technological enhancements to then ValidClick revolved around automating the numerous traffic sources under management, which are necessary to ensure the best quality consumers are delivered to our clients at the lowest cost. This automation continues to have a positive impact, most notably on the time resources spend manually adjusting campaigns. We've seen a 50% reduction in this time spent optimizing campaigns because of these continuous enhancements to the platform. Additionally, we've continued to enhance our publishing technologies within ValidClick. Within the quarter, we were able to dynamically insert related articles into content at a time when our systems detect a user's engagement is declining. This feature now allows us to reignite engagement at the time of declining interest, and as a result, improve the opportunities to further monetize that engagement. Further, and in combination with our largest ValidClick clients, we began in-market testing of an innovative advertising unit that leverages the search intent of users on pages so it can customize content and advertising in a manner that improve the page's overall yield. While this program is in the initial test phase, it is showing positive results with significant upside opportunity.  Consequently, we see this as a significant growth driver in 2022. Most notably in the quarter, and for the first time, we leveraged the services of ValidClick in combination with the services of the IntentKey to win larger direct clients where we now manage the entire multichannel online advertising spend across channels that include social, search, connected television, video, display advertising, streaming audio, and Linear TV. This is a significant advancement of our strategy to sell directly to clients, where the competitive differentiation of our Artificial Intelligence, combined with this multi-channel capability, puts us in a position to win more and larger deals. This quarter's wins, which I will talk more about later, gives us confidence in the strategy.  One of the advantages of this approach is our ability to incorporate our AI into channels such as social and search, where we are confident that we can outperform existing performance within those platforms through this integration. We started executing on this capability in the third quarter as part of the larger media budgets we are now managing. Of the $16.8 million delivered, the IntentKey platform contributed approximately $5.1 million, which was up year-over-year by 71% and up 75% sequentially. The platform's growth rate has been and continues to be strong, based on the product's core value proposition as a replacement for third-party consumer data, which the industry uses today universally. In the third quarter, we signed more than $10 million worth of orders across a collection of businesses, both direct to client, and through agencies.  We anticipate that these orders will deliver over a 9-month period. Our sales outreach continues to improve, which has resulted in 31% more RFP s submitted compared to the same period last year. In addition, the dollar volume in RFP submitted has also increased by 75%. This reflects our strategy to go after larger clients and to sell further up the chain. It's worth noting that not every deal we go after requires an RFP. We signed a diverse range of clients over the last 3 months. These include companies within insurance, online gaming, pet technologies, education, a number of states COVID initiatives, real estate, e-commerce, investing, wine making, urgent care, DNA screening, gym memberships, and personal lending, to name a few.  Across the client base, we outperformed goals by 40% on average within the quarter. We ran 95 campaigns within the quarter, which is up 13% sequentially. 25 of these campaigns were new, and 70 were renewals of existing business. We continue to sign clients who understand that the future of online advertising is one where consumer data is no longer used as a part of a Company's prospecting activities. The IntentKey, as you are aware, uses no consumer data as a part of its artificial intelligence. Rather than trying to identify who the people are that match a product, service, or brand interest, it determines why that interest exists to begin with.  This intelligence is considerably more valuable and strategic to the clients adopting us as their go-to market technology for this privacy first future. At its core, the cookie is an effective mechanism through which consumer data is onboarded for use within digital advertising. We believe strongly that the era of [Indiscernible] based marketing that uses this consumer data is coming to an end. And believe we are well-positioned to win market share as companies and agencies accelerate their acceptance of this new reality. Apple has already adopted this future; we believe others will follow.  We're often asked to prove that our cookie list solution works as part of our sales cycle. In one such example within the quarter, we ran two large cookies less tests for a client where we achieved a 50% lower cost for the same return. This not only means we can in fact deliver advertising effectively in this privacy for its future, but we can do so at a level of performance that already exceeds the best of the existing [Indiscernible] based methods currently in use. As mentioned in my comments related to ValidClick, we are now managing cross-channel advertising activity for a handful of clients. As a result, we are also building out reporting and performance tools required to support those campaigns.  These new clients are preparing us for our revised sales strategy in 2022 where we sell a managed service directly to clients and our SaaS solution to agencies. Across the Company, we are hiring to ensure delivery of existing and future business with a continued focus on sales, account management, and campaign operations, along with select positions in development and marketing. We currently have 77 full and part-time employees.  As we enter 2022, we are increasing our brand-building activities in support of our efforts increase the awareness of our Company and its solutions. We plan to complement this awareness with a direct to CMO marketing plan that uses the intent key to identify and message to those CMOs, so as to create a funnel to qualified leads using the very technology, we are selling to them. I would now like to turn the call over to Wally for a more detailed assessment of our financial performance within the quarter.
Wallace Ruiz : Thank you, Rich. Good afternoon. I'll recap the financial results of the Third Quarter of 2021. As Rich mentioned, Inuvo reported revenue of $16.8 million for the quarter ended September 30th, 2021. This compares to $9.2 million reported in the third quarter of last year. Both platforms, ValidClick and IntentKey, exceeded the prior year. ValidClick revenue exceeded the revenue in the third quarter of last year by 88% and the IntentKey revenue for the 3 months ended September 30th, 2021 exceeded the prior year quarter by approximately 71%, primarily due to the acquisition of new customers. IntentKey revenue represented 30% of total revenue in this year's quarter, compared to 32% in the same quarter last year.  This year's quarters, a bit of an anomaly in that ValidClick being the most affected by the COVID-19 pandemic last year, came roaring back starting in the Second Quarter this year. However, due to the strong growth we are seeing in the intend key, in the fourth quarter we expect the IntentKey revenue to continue to grow as a percent of the total revenue. Inuvo gross margins decreased in the Third Quarter to 78% compared to 82% in the same quarter last year. The IntentKey gross margins were 36% in the third quarter compared to 49% in the same quarter last year. Our new customers are requiring us to deliver ads in a multi-channel environment. The different channels have different gross margins.  Though we attempt to optimize gross margins, we want to deliver to the customers the multi-channel campaigns that they want. Going forward, IntentKey gross margins may increase due to the increased use of the SaaS version of IntentKey where margins are expected to be significantly higher as a result of the mostly fixed costs associated with operating just the A.I. modeling and decision components of the platform. The majority of ValidClick's costs are traffic acquisition-related and not reported as cost of revenue, rather as a marketing expense. ValidClick's gross margins were 96% in the third quarter compared to 98% in the same quarter last year. This also is due to the multichannel environment we are now operating in.  As Rich mentioned, we have started to integrate the ValidClick services with the IntentKey customers and we expect the ValidClick gross margins to stabilize. Operating expenses were $14.8 million in the third quarter of 2021 compared to $10 million the prior year, an increase of $4.8 million. The largest component of operating expense is marketing costs. Marketing costs of predominantly traffic acquisition costs associated with ValidClick. It is the largest expense associated with the ValidClick platform. Marketing costs were $10.2 million in the third quarter this year, compared to $5.7 million in the same quarter last year. The $4.5 million higher expense this year has mostly to do with the reduction of traffic acquisition activities last year in response to the unusually low ValidClick revenue last year.  Again, associated with the COVID-19 pandemic. Compensation expense was $2.8 million in the third quarter this year compared to $2.5 million in the prior year, primarily due to higher stock-based compensation expense and to a lesser degree, higher employee salary costs. Our full-time employment was 73 at September 30th, and that compares to 66 at September of last year. The majority of the increase in headcount occurred with ad sales, sales support, and account management for the IntentKey.  We also hired traffic acquisition professionals within ValidClick to support a strategy to bring the function in-house. Selling general and administrative expense decreased by $45,000 in the third quarter. This compares to the prior year -- this is compared to the prior year, and that's due to lower professional fees and IT costs this year where we consolidated operating facilities. Net interest expense was $6,000 in the third quarter of this year compared to $26,000 last year. This year's expenses associated with the leasing of IT equipment, and last year's expense was primarily related to the outstanding debt on our line of credit. We had other expense of $79,000 in the third quarter of this year due to an unrealized loss from marketable securities. The other gain of $54,000 in the third quarter last year was associated with the recognition of deferred revenue from a contract to license ValidClick Technology.  We reported a net loss of $1.8 million or $0.02 per basic share compared to a $2.4 million net loss or $0.03 per basic share for the same quarter last year. Non-cash-based expenses totaled approximately $1.5 million in the quarter. The adjusted EBITDA for the quarter ended September 30th of this year, was a loss of $338,000 That compares to a loss of $1.2 million for the same time period last year. As mentioned, we had a positive adjusted EBITDA in the month of September.  We believe we should be positive EBITDA -- adjusted EBITDA for the fourth quarter. On September 30th 2021, we had cash-and-cash equivalents and marketable securities of $14.6 million and a networking capital $13 million in addition to having a $5 million working line of credit, which currently has no outstanding balance. To maintain a simple cap structure with only common stock, employee's restricted stock units through an equity incentive plan and 300,000 warrants to purchase common stock. With that, I'd like to turn the call back over to Rich.
Richard Howe: Thanks, Wally. We had a very strong Third Quarter, with 83% year-over-year and 33% sequential growth. We signed over $10 million worth of IntentKey or orders within the quarter, an all-time high. We expect to report strong year-over-year growth in the Fourth Quarter. We expect both product lines to so -- to show sequential growth in the Fourth Quarter. We are forecasting adjusted EBITDA to be positive in the Fourth Quarter coming off a positive month in September. We expect the IntentKey notable client performance to continue alongside of growing pipeline with improving win rates. Our Balance sheet is currently strong enough to accommodate the working capital needs of the growing business. And as a result, we have no immediate plans to raise capital. With that, I will now turn the call over to the Operator for questions. Operator?
Operator: Thank you. [Operator Instructions]. And we'll pause for just a moment to give everyone the opportunity to signal. We'll take our first question from Brian Kinstlinger with Alliance Global Partners.
Brian Kinstlinger: Great, thanks. The third quarter seem to be a breakout quarter for IntentKey. I'm sure it's very satisfying as it's been a long time coming. As you mentioned, the leverage on ValidClick that you're using, as well as the clear changes in privacy that drove some of the performance. Can you talk about the number of RFP in the fourth quarter you're bidding or tracking? Is it tracking higher than the third quarter? And just maybe from a higher perspective, talk about how the pipeline is building?
Richard Howe: I don't know the exact number of where we stand today, Brian, for the fourth quarter, but the third quarter's RFP counts, I think, were somewhere near 100 or ish, if memory serves. And it has been increasing sort of steadily. I think I referred to that in the call notes. We feel good about the way the pipeline is evolving to the product. I don't know if I would categorize the IntentKey 's quarter as a breakout quarter. Certainly, it was a good quarter, but the IntentKey has grown pretty much continuously since it was launched in 2019. So, sure, it was a -- it took a bump up in Q3 of this year, but really has not ever grown since it was launched at that point.
Brian Kinstlinger: I guess I'd look at it differently. By far the best quarter in revenue and I think more to come, but we'll see. You guys were in preparing for new privacy roles by Apple and others for some time and first-party data. Can you talk about how you're offering is resonating with customers? And then with that and how demand and more RFPs are being bid on. Maybe a -- what's a reasonable goal for either 12 or 24 months of growth for IntentKey with this trend?
Richard Howe: Yes. So, I think like to any change that affects an industry. There are individuals within clients that we will sell to those we directly or agencies who are ahead of the curve. Let's call them early adopters and then there will be others to aren't. and I would say to a large degree we're getting the early adopter phase of the disruptive changes coming. As privacy rules continue to get more stringent and as the cookie issue comes to a head in 2023, and as companies like Apple continue to basically just forge ahead and try to create the world that they want created, people are going to be forced to have to deal with the situation. And good news, we'll be ready, willing and able to help when so, they get there.
Brian Kinstlinger: You gave $10 million in 10-Q orders from the third quarter. I can't remember or I didn't look quickly through my model. Can you provide what that was in the second quarter and the first quarter just to see how that's progressed?
Richard Howe: We didn't give it in those quarters, so I'd actually don't even know what it is. By the way, a significantly larger -- yes, it's significantly larger. That's why I said it's the largest we've had on record.
Brian Kinstlinger: Okay.
Richard Howe: I'm sorry. I can't give you those. I don't know what they are. We don't track -- I didn't track it back then.
Brian Kinstlinger: The last question is on the seasonal strength in the fourth quarter and if you're seeing the impact at all from supply chain issues to demand for CPM -- demand or CPMs. Some companies who said ad budgets will not be as strong as usual on the fourth quarter, others are saying it's unimpacted. I'd look at it as its portfolio-specific on which companies are suffering, so maybe you can talk about how, if at all, you're seeing any impact of the supply chain challenges on your customers.
Richard Howe: It's really hard to predict these things leading into Thanksgiving and Christmas. They do have some variability to them. It's not really affecting us if you mean like companies in auto or whatnot that have chip problems or other where -- I don't think we're seeing the impact of that. If anything, it seems like advertising is coming back and coming back nicely, from our perspective. Most of the people we're talking to, either as prospects or clients, are trying to figure out how to increase their budgets, not decrease them. Now, with that being said, I think as you know, Brian, our business has seasonality in it. It's typically weaker in
Wallace Ruiz : the first half of the year and stronger in the second half.
Brian Kinstlinger: Great. Thank you.
Wallace Ruiz : Thank you, Brian.
Operator: [Operator Instructions]. Moving on. Go to Aaron Warwick with Breakout Investors.
Aaron Warwick: Hey, Rich and Wally. I hope you're doing well today --
Richard Howe: Hey, Aaron.
Aaron Warwick: -- quarter. Hey, I wanted to ask you a little bit more about the Twitter deal, if you could comment on that, maybe expand just in terms of what you expect, in terms of the potential there compared to the previous and current business you have like with some of your other clients on ValidClick?
Richard Howe: Yes, maybe -- importantly for context that -- I think we know we live in this digital modern world where there are a lot of places you can advertise. The more adept you are at understanding the nuances of each channel, Twitter being one of them, obviously it has a number of uniqueness’s to it that are different than other social media channels. Then the better you'll be at that meeting that needs your clients. So, the answer is we've been adding -- we add new channels, I don't know, a semi-regular basis because you can't do everything.  But we did in Twitter find a pretty responsive Company, Twitter, interested in working more with companies like ours, and actually allocating internally resources that could help us become better at using their channel. And that's not as common in the other larger social media platforms where we have relationships. So as a result, we've seen good performance, good results, and we expect to scale it.
Aaron Warwick: That sounds very promising. Thank you. With IntentKey, you had mentioned that $10 million sounds really good, and then the additional whatever it was, 70% to $0.80% in RFPs year-over-year in terms of the dollar amount. What are you seeing though in terms of client retention and then even current clients expanding their campaigns? Are you pretty well keeping all of your clients and getting them to expand? What do you see in there?
Richard Howe: Yeah. The interesting thing about media is the clients can actually come and go, and of course they don't always spend their money continuously. They might spend it in 1 quarter and then take a pause for another and then start up in another quarter. In fact, we've had clients who spent maybe for 2 quarters and then stopped and then started back up the next year, so it's a little difficult to figure out what constitutes a lost client versus a not lost a client. We have certainly lost some clients, but there are so few of them that I don't even remember who they are. How's that. And when we do lose clients, we've tended to lose them because we're working with an agency and that agency loss of them.  Because when we work with agencies, they maintain the relationship with the client and we're really just a service provider in that environment. so, I think -- as I've said, maybe time and again with the IntentKey, the performance is strong and the approach we have produces such valuable, strategic and it's because it's really honing in on the reasons why people are doing things as opposed to who they are. That we tend to keep the clients because they see things they've never seen before, and it opens up the ability to market to things they've never been able to market to before because of the constraints of the existing consumer data.
Aaron Warwick: Thank you for that. Appreciate that. Did I hear you correctly? I know you've been saying here recently that you can sort of leverage some of the clients at IntentKey, get them over to ValidClick, but did I hear you mentioned something in your opening remarks about integrating certain aspects of IntentKey and the AI into ValidClick or was that a misunderstanding on my part?
Richard Howe: No, that's exactly right. Social and search. ValidClick has an extremely robust competency in media buying in social and search. Been doing that for many years. And so now we're offering that in combination with all of the other channels that the IntentKey provides. A connected TV, and display and video, and streaming audio, etc. And yes, and we've now incorporated the AI directly into the social and search-based media campaigns that we're running, which was pretty cool.  To be able to add that value-add into those channels and as a result, identify audiences within those platforms and then market to those audiences’ using identifiers created by our artificial intelligence. So that was a big step in our mines towards our desire to want to go in and sell directly to clients, recognizing that we have a huge competitive differentiation within the so-called programmatic space. But recognizing also that when you try to sell us bigger deals, you've got clients who don't want to have multiple vendors.  It becomes difficult for them to manage. Let's just say I do my social buying somewhere, my search buying somewhere else, and I do better known video somewhere else and programmatic somewhere else. There's a lot of sorts of call it 0.5 billion to a billion dollars a year companies, it would rather just have the single providers of those services. And we find, as a result of the clients that we were able to sign and work on in the third quarter, we now have this ability which we've wanted to have, to go out and sell these bigger deals which we plan to start doing in 2022.
Aaron Warwick: Yes. Fantastic. Sounds like you're set up for that. The final thing for me, then, would be -- you talked on the last 1 or 2 calls about potential acquisition with the cash that you have and just wondering what the -- what your thinking is on that right now. Is that something that's still on the radar or is it something that you pushed aside for now?
Richard Howe: We did push it aside, Aaron, but not because we don't want to do it. It's more like the growth, as you can tell, has been so strong that we find ourselves in a good position of having to be 100% focused on not dropping the ball on client relationships that we've now closed. We don't want to be distracted and we don't want the resources of the Company to be distracted to have to work on an integration as a result of the acquisition of a Company, not right now. With that said, we still believe that an acquisition of some kind should be in our future.  And as I've said on prior calls, my preference right now would be to acquire marketing and advertising -- a digital marketing and advertising consultancy in large part because the resources in those consultancies tend to be more knowledgeable about the complexities associated with advertising. And as a result, tend to be more successful at selling bigger deals or client's value, the sort of the consulting that comes with a sale.
Aaron Warwick: Guys, I appreciate your time, and I'm looking forward to the end of this year in '22. Keep up the good work. Thank you.
Richard Howe: Thanks, Aaron.
Operator: And that does conclude the question-and-answer session. I'd like to turn it back to management for any additional or closing comments.
Richard Howe: Thank you, Operator. I'd like to thank everyone who joined us on today's call. We appreciate your continued interest in our Company.
Operator: Thank you. That does conclude today's conference. We'd like to thank everyone for their participation. You may now disconnect.